Operator: Hello, everyone, and thank you for joining us today for the DCC interim presentation for the 6 months ended 30th of September 2025. My name is Sami, and I'll be coordinating your call today. [Operator Instructions] I'll now hand over to your host, Donal Murphy, Chief Executive of DCC, to begin. Please go ahead, Donal.
Donal Murphy: Good morning, and welcome to DCC's interim results presentation for the 6 months ended the 30th of September 2025. Thank you all for joining us this morning on our webcast. I'm joined today by our Group CFO, Conor Murphy. Here's our standard disclaimer. Thankfully, I don't have to read it out. So this morning, I will outline the significant strategic progress we have made to build DCC into a simpler, stronger and more focused business since announcing our change in strategy this time last year. Conor will give you an update on the trading performance in the first half of the year, and we'll finish with our outlook statement and a summary before we open up the session for your questions. So let's get started with an overview of the significant strategic progress we have made over the last 12 months. On the 12th of November 2024, we announced a strategic plan to maximize shareholder value by focusing solely on our compelling opportunity in our energy business and simplifying the group's operations through portfolio actions. Over the last 12 months, we have made very significant progress to simplify the group with the majority of the planned changes now complete. More on this shortly. We announced in May that we intended to return up to GBP 800 million of the proceeds from the sale of DCC Healthcare to shareholders. We completed the initial on-market buyback of GBP 100 million in September, and we will shortly commence a tender offer for GBP 600 million of our equity. On the 21st of October, we announced that we had acquired 2 liquid gas businesses in Europe, a priority development area for the group. And last, we have to perform while transforming the group. I am pleased that our trading performance improved through the first half of the year after a difficult start in a challenging environment and that we are maintaining our guidance for the year as a whole. So let's look in a little bit more detail on our strategic progress over the past 12 months. The plan we announced last November to maximize shareholder value had 3 actions. Firstly, we said the group will now focus solely on our most compelling growth opportunity, our energy business. Secondly, we launched the process to sell DCC Healthcare. Thirdly, we said that within the next 18 to 24 months, we would review our strategic options for DCC Technology. We have made significant progress since last November. In September, we completed the sale of DCC Healthcare. In May, we commenced an initial GBP 100 million share buyback program, which we completed in September. We will shortly commence a tender offer, returning a further GBP 600 million of the proceeds to shareholders. On the 14th of July, we announced that we had reached agreement for the sale of DCC's Info Tech business in the U.K. and Ireland to AURELIUS, a globally active private equity investor. The business had revenues of approximately GBP 2 billion and represented approximately 1% of DCC's continuing profits in FY '25. We announced on November 3 that the sale completed. While the cash proceeds to DCC are not material, the business was responsible for about half of our intra-year working capital swing for the group. It was also the only business within the group availing of supply chain financing. The removal of both factors further strengthens DCC's financial position. The final component of DCC's Info Tech activities is a very small and unprofitable business in the Netherlands, which we will exit in the second half of the year. We have commenced the proprietary work for the sale of the remaining part of DCC Technology. This business is a global leader in the sales, marketing and distribution of specialist Pro AV, Pro Audio and related products and services. It is predominantly based in North America. We are on schedule with the integration plan we outlined last November. It is our intention to have reached agreement for the sale of our Specialist Technology business by the end of calendar 2026. To set DCC up for growth as a single sector energy business, we have made a number of leadership changes, both at Executive Director level and at management team level. The new DCC leadership team is fully in place, has extensive experience in the energy sector and the commercial agility and drive to build DCC into a global energy leader. DCC is a unique energy business, providing multi-energy solutions to our customers for 5 decades. We operate across solutions, energy products and energy services and mobility. We have built a strong capability in engineering-led decentralized energy solutions, particularly in our liquid gas business. Our ambition is to be a global leader in the sales, marketing and distribution of energy products and services, delivering high growth and high returns for our shareholders. We have a scalable growth opportunities across our sectors, particularly in liquid gas and energy services. Our strategy is to grow our customer base by being the provider of choice for secure, competitive and cleaner energy products and to sell more services to our energy customers, driving higher organic growth rates. How do we win? We leverage our strong market positions being typically #1 or #2 in most of our markets and with our deeply embedded customer relationships. Our aim is to be the best customer company in the energy sector. We are strong operators in the energy sector and have significant experience in consolidating fragmented energy markets. By delivering our strategy, we will drive organic growth of 3% to 4% and acquisition growth of 6% to 8% on average per annum to achieve our ambition of delivering double-digit growth in earnings. We aim to turn approximately 90% of our profits into cash and always to deliver returns on capital employed in the high teens. Looking ahead, demand for secure, cleaner, competitive energy is stronger than ever. Our commitment to carbon reduction is clear. We will continue to provide innovative offers to support our customers with the multi-energy solution capability we have built over the last 5 years in biofuels and energy services. Emissions reduction will be an output rather than a driver of our strategy. We still believe that energy systems are going to decentralize and move closer to the customer. That is where we win through our closeness to our customers, meeting them where they are at. Now to focus on the large capital return to shareholders. The sale of DCC Healthcare enabled us to return GBP 800 million of capital to shareholders. As I mentioned earlier, the process began in May with an on-market share buyback program of GBP 100 million. Following the completion of the sale of DCC Healthcare on September 9, we announced our intention to return GBP 600 million to shareholders shortly after these half year results via tender offer. The final GBP 100 million return will take place after the receipt of the unconditional deferred consideration within the next 24 months. The tender offer will commence shortly and will be completed by the end of calendar 2025. The strength of DCC's balance sheet and the cash-generative nature of our business provides significant capital for growth to deliver on our 2030 vision. In May, we outlined the exciting growth opportunities we have across our energy activities. In Energy Products, we have an opportunity to scale our liquid gas business in many remaining fragmented markets in Europe and in the U.S. This opportunity in liquid gas is a key part of our plan to reach GBP 830 million of operating profit by 2030, double our 2022 total. DCC has been in the liquid gas business since 1977. We've built leadership positions in 6 countries and established growth platforms in a further 3 markets. Overall, DCC is just 5% share of our total addressable market in Europe and the U.S. Yet in the markets where we already operate in Europe, we have built approximately 30% market share. In these consolidated European markets, our leadership positions drive higher returns. We drive higher returns by, for example, leveraging network effects, better routing and scheduling of our fleet and optimizing the depot infrastructure, reducing the cost to serve our customers and indeed the cost to acquire new customers. We are strong operators, so we often have opportunities to optimize margin management and drive synergies through procurement. We have a very loyal customer base with low churn rates. These relationships typically last more than 10 years. The infrastructure we install on our customer sites makes it costly for them to move to another supplier or energy type. Liquid gas is seen as a transition fuel in Europe. With its lower carbon characteristics, we are attracting new customers from other higher energy carbon energy sources, so who want to reduce their emissions. We have significant opportunities to scale our business by expanding into new fragmented markets and by further consolidating in our existing markets. This is a core competence of DCC. On the 21st of October, we announced that we have agreed to acquire FLAGA in Austria and a cylinder business in the U.K., both from UGI International. FLAGA founded in 1947, serves over 15,000 customers from its nationwide network in Austria across both bulk liquid gas, where average customer lifetime is more than 15 years and via a significant cylinder business. The acquisition extends DCC's leadership position in the Austrian energy market, where we already have a leading liquid fuels business and a growing presence in energy services. In the U.K., the acquisition of the UGI cylinder business is highly synergistic and further strengthens our liquid gas cylinder proposition in the market. I'll now hand you over to Conor, who will take you through the performance for the first 6 months of FY '26. Conor?
Conor Murphy: Thanks, Donal, and good morning, everyone. This is my first results presentation since sitting into the CFO seat. I'm really excited to be here, and I'm focused on making sure that we continue to get our messages across in a simple and clear term, particularly as we transition the group to a single sector energy business. As Donal talked through, it has been probably the most significant 6 months of strategic progress that we have ever had in the group. In contrast, the 6 months to September is the seasonally less significant part of the year from a trading perspective, with the first half representing approximately 1/3 of our expected full year operating profits. Before I start, by way of reminder, the results from our former Healthcare business and Info Tech business in U.K. and Ireland are now classified as discontinued. What we have set out in this presentation comprises our continuing operations, which is our Energy business and the remaining part of DCC Technology. Prior year comparatives have been restated accordingly. In the 6 months to September 2025, our revenue was down from GBP 7.9 billion to GBP 7.4 billion on a continuing basis. I will go through the details of the declines when talking through Energy and Technology. At a high level, the main drivers were the fact that volumes were down in energy and that commodity pricing is also significantly lower year-on-year by approximately 15%, which impacts our revenues, but is not reflective of our underlying trading. Operating profit is down 5.4% on a reported basis and 5.3% on a constant currency organic basis. Again, I'll talk through the detail in a moment when walking through Energy and Technology. Our adjusted EPS is down 4.2%, which is lower than the decline in operating profit as a result of the lower finance costs in the first half. The lower finance costs are a result of lower interest rates generally, but also the lower average net debt that we had in the group over the 6 months. We are declaring a 5% increase in our interim dividend. The Board is conscious of the importance of our dividend to our shareholders, and the increase represents the confidence that we have in the business as we enter the seasonally more material second half of the financial year. Finally, our net debt at the end of September was just GBP 522 million, reflecting the proceeds from the disposal of Healthcare, as mentioned earlier. On a pro forma basis, this will be GBP 600 million higher once we complete the capital return by way of tender offer, which is expected to complete by the end of the calendar year. I won't delay on this divisional results slide. It sets out the split of our operating profit between Energy, which now accounts for 84% of the operating profit in the first half and technology, which accounted for 16%. Given the weighting of energy to the second half of the year, we expect that the full year weighting will be more like 88% energy and 12% technology. Focusing on our energy results for the 6 months ended 30 September 2025. In the full year results presentation in May, we presented energy in a more intuitive way and in the way that it is managed commercially. We split energy between our Solutions business, which itself splits between Energy Products and Energy Services and then our Mobility business. Overall, DCC operating profit was 5.2% behind the prior year and 5.9% on a constant currency basis. In our trading statement in July, we highlighted that the first quarter was in line with our expectations, although behind the prior year. We knew that the business had a tough set of comparative numbers in the first half of the prior year and particularly in the first quarter. It has been good to see that energy was slightly ahead of the prior year in the second quarter. Solutions operating profit declined by 10%, driven by Energy Products, while Mobility operating profit increased by 2.8%. I will now take each of these in turn. In Solutions, our Energy Products business accounted for 50% of profits in the first half, though it is a larger proportion of our profitability in the full year. Energy Products encompasses our liquid gas, liquid fuels, on-grid gas and power businesses. Energy Products volumes were 4.9% lower in the first half and operating profit was down by 12.8%. There were 3 main drivers of the decline. Firstly, our businesses experienced warm weather in the early part of the first quarter in France, U.K., Ireland and North America. This impacted on the volume demand in each of these markets. And while we maintained our market shares, profitability declined. Secondly, we disposed of our Hong Kong and Macau business in the prior year. The removal of that business impacted both volumes and profitability, accounting for 4 percentage points of the decline in the Energy Products business. Thirdly, we are seeing the impact on demand of a number of softer economies, particularly impacting commercial and industrial volumes. To give a little more color on this, Continental Europe was primarily impacted by warmer weather, mainly in France. The decline that we experienced in the U.K. and Ireland was driven by our natural gas and power business in Ireland after a very strong performance in the prior year, a significant factor in the tough comparatives that we faced overall. Performance in our liquid gas business in the Nordics was a little difficult, however, with lower demand from commercial and industrial customers. Finally, in Energy Products, our U.S.-based business performed ahead of the prior year despite warmer weather. We've had a number of cost initiatives in the business, driving better margins and operational efficiencies. The smaller part of Solutions is our Energy Services business, which grew its operating profit by 8.5%. The largest and most mature part of our business in Energy Services is our business based in France, and it again grew very strongly during the period, continuing to increase revenues and profits while making good progress in integrating acquisitions completed in the prior year. Although the market backdrop in Germany was difficult, our business there achieved good growth. Our energy service businesses in the U.K. experienced difficult market conditions with the poor economy impacting the willingness of commercial customers to invest. Our business in Ireland has continued to perform well. Our mobility business grew its operating profit by 2.8%, which was mostly organic. Volumes were behind the same period a year ago as we proactively manage margins across each of the regions in which we operate. The continuing trend towards electrification also impacts volumes, though this, of course, benefits our nonfuel revenues and margins. We stepped away from a number of lower-margin, higher-volume contracts, in particular, in Nordics and the U.K., giving the business a sharper focus. In addition to the fuels which we provide at our stations, we offer a range of nonfuel offerings at our service stations, including EV charging, car wash and convenience retail in a select number of sites. In the 6-month period, we developed these across our markets and in France and Luxembourg in particular. The larger part of our nonfuel services encompasses fleet services across fuel cards, telematics and digital truck offerings. We delivered strong organic growth across all of these areas, complemented by a modest contribution from acquisitions. Our nonfuel gross profit grew by 3.5% year-on-year as we expanded our customer offerings. In our full year results presentation, we set out this important slide, but we didn't dwell too much on it in May. I'm going to spend a little more time on it today as it provides much more granular detail on our Energy business and is helpful in telling the story of the first half. Firstly, to highlight the split of profits between Solutions and Mobility. In the full year, this was a 77% weighting of profits to Solutions and 23% to Mobility. It skews quite significantly towards mobility in the first half, which represented 41% of our operating profits. There's a lot more on-road driving done during the summer months across all the markets in which we operate retail networks. And conversely, our energy products businesses are comparatively quiet in the summer months given the commercial and residential weighting in those businesses, although energy demand does tend to be higher. I highlighted that our Energy products volumes were 4.9% behind in the first half, and I've talked about the main drivers of this decline. We set out in the table both the gross margin at a total level and on a pence per liter basis. The pence per liter decline is really a function of mix resulting from the shape of the volume decline. Firstly, the volumes lost from the disposal of the Hong Kong and Macau business were at relatively high margins and the warmer weather reduced domestic demand, thereby resulting in a lower pence per liter margin. Overheads are down in excess of the volume decline. However, the mix impact results in operating profits declining by 12.8%. In Energy Services, it was pleasing to see the revenues continue to grow, 14.3% ahead of the prior year and gross profit further ahead, achieving 16.3% growth. Operating profit grew by 8.5%, although being lower than gross profit growth. We've continued to invest in the businesses which we've acquired, particularly those that were owner-managed, and we've invested to upgrade their infrastructure and management capabilities into the PLC environment. Finally, in Mobility, similar to energy products, we experienced a 4.6% decline in volumes. We increased fuel gross margin per liter from 6.2p per liter to 6.6p per liter, highlighting the resilience of the mobility business model and our proactive margin management. This drove our fuel gross profit up by 2.3% year-on-year. At the same time, nonfuel gross profit decreased by 3.5% -- increased by 3.5%, which demonstrates the focus which we've had on developing and investing in this area of the business. All of this drove 2.8% growth in our operating profit. Moving on to DCC Technology. Revenues in DCC Technology declined by 2.7% in the first half of the year. And with a slight reduction in gross profit, this resulted in operating profit declining by 6.9%, which was a 2% decline on a constant currency basis, given the weighting to U.S. dollar profits that we have in our business. In our North American business, the Pro Specialist product business performed well, increasing our market share where we are the market leader. Our Lifestyle and consumer-focused products segment experienced weaker consumer demand and some stock availability issues impacting the performance of the business in certain categories. As you can imagine, this sector has been more difficult with tariffs leading to uncertainties and consumers somewhat reluctant to spend. The first quarter was the stronger quarter for the business as customers look to pull forward stock orders in advance of the impact of tariffs. Understandably, this led to a slower second quarter as customers work through this stock and as the impact of tariffs became clearer. Our smaller European business delivered growth, particularly in the Nordic region. As we announced on the 3rd of November, we've completed the disposal of DCC Technology's Info Tech business in the U.K. and Ireland to AURELIUS. We continue to prepare the remaining DCC Technology businesses for sale next year, and we've made good progress in the integration and operational efficiency program in North America. Our capital allocation framework. We had set out this framework at the time of our results presentation in May of this year. Given the strategic progress that we've made over the last 6 months, I think it's important to reiterate this framework to recommit to it and to put the progress that we have made in the context of this framework. We've allocated over GBP 70 million to capital expenditure, continuing to invest in our businesses and their organic development. The vast majority of this investment has been in energy. We are declaring a 5% increase in our interim dividend, underlining the strength of the business and our confidence in it. We've committed approximately GBP 60 million to acquisitions over the period, including most recently the acquisition of 2 liquid gas businesses in both Britain and Austria. Finally, we have returned GBP 100 million to shareholders by means of the on-market share buyback and we'll shortly be launching a GBP 600 million capital return by way of tender offer, all following on from the completion of the disposal of DCC Healthcare. And we've done all this while maintaining our strong balance sheet, which we remain committed to. And recently, we have had our investment-grade rating reaffirmed by credit rating agencies. With that, I'd like to hand back to Donal for a summary.
Donal Murphy: Thanks, Conor. So just before we open up to Q&A. So what makes DCC unique? Global energy demand will grow. Customers need secure, cleaner and competitive solutions. We scale growth opportunities in new and existing markets, market-leading positions and long-term customer relationships. We're strong operators, and we have an agile, entrepreneurial and resilient business model founded on a strong balance sheet and cash generation, self-funded double-digit growth. And we're a highly experienced compounder, almost 400 acquisitions at high returns. I am confident that this will deliver sustainable, high returns and compounded growth for all our shareholders. So in summary, our outlook for FY '26. DCC continues to expect that the year ended 31st of March 2026 will be a year of good operating profit growth on a continuing basis, significant strategic progress and ongoing development activity. So in summary, we've made excellent strategic progress over the last 12 months, and most of our simplification project is behind us. We are in the process of making a material return of capital to you, our shareholders. And looking ahead, we have an excellent opportunity to grow our unique multi-energy business while delivering high returns for our shareholders. We are well on track to deliver our ambition to double profits by 2030 from 2022. And we are focused on the future, confident that we will build DCC into a global leader in the energy sector. Thank you all for listening, and we look forward to answering your questions.
Operator: [Operator Instructions] Our first question comes from Rory McKenzie from UBS.
Rory Mckenzie: Here. Two questions, please, on the new Energy divisions and the new KPIs. So firstly, on Energy Solutions products, can you help us understand what a sensible outlook is for H2 after volumes were down 5% year-over-year in H1. I think the margins pence per liter were also down quite a bit. It sounds like quite a lot of that pressure came in Q1 with the disposal and heating volumes. So how do we kind of read those trends as we go into the significantly bigger part of the year? And then secondly, in Solutions Services, I appreciate profits were up overall in H1. But if I assume most of the M&A was going into that segment, that would imply that organic profits were down about 8% year-over-year in H1. So can you also talk about where you are in terms of the integration of M&A in that division and what a kind of fair profit growth outlook should be from here? I know you're doing a lot around customer strategy and repositioning. So where are we with that? And what should we expect for H2?
Donal Murphy: Thanks, Rory. And we'll start with just your first question. So when we look at the 2 big impacts in the first half of the year were weather and Hong Kong and Macau. Hong Kong and Macau is kind of easy to deal with. We only had it in the first quarter last year. So we have lapped the Hong Kong and Macau being within the group. And I say, it was a higher-margin activity. On the heating side, and we see this, like the March last year and into April was a very mild period. So we had weakness in our heating demand. That will bounce back in the second half of the year. So we're very confident that the activity that wasn't there in the first half will flow through in the second half. It is higher margin activity that will impact clearly or benefit the margins in the second half of the year. And that's why we're so confident in terms of reiterating our guidance for the year as a whole. So there's nothing really to read into the numbers in the first half of the year. On the services side, actually, there is modest organic growth in the first half of the year. The contributions from acquisitions were pretty small really. And overall, the business is growing very strongly in France and the markets outside of France, demand has been weaker. And that's, I think, been well publicized by many of our peers. I don't know, Conor, if there's anything you'd like to add to that.
Conor Murphy: No, no. I think you've covered it well, Donal. I mean the -- as Donal said, the progress in the first half, we will see that maintained, if you like, in -- for the full year. So second half broadly flat, maybe a small bit of growth on the services side.
Operator: Our next question comes from David Brockton from Deutsche Numis.
David Brockton: And weather, I think you also called out weaker commercial volumes. Can you just sort of give us an update as to what your planning assumptions are for H2? Do you expect those commercial volumes to improve? Or do you expect growth elsewhere to offset it? And if so, where? And then the second question in relation to technology. from memory, you were looking to drive, I think it was GBP 20 million to GBP 30 million of profit improvements in that business before you sold it. Can you give an update on that, please?
Donal Murphy: Sure. David, we missed the first part of your question didn't come through, but I think it was weather related and then it went into the commercial...
David Brockton: Commercial volumes? Yes.
Donal Murphy: Yes. Yes, the commercial volumes. Yes. Look, the -- again, there was nothing kind of overly dramatic in the commercial volumes, like the 2 or bigger impacts in the first half were the weather effect and Hong Kong and Macau. So there was a number of the that we were in a little bit up in Scandinavia, where some of our large commercial customers, their demand was a little bit weaker. We really don't see anything particular flowing through into the second half of the year. Energy business typically is very resilient regardless of what's happening in the energy cycle so -- or in the economic cycle, so people need their energy. You might have a little bit of softness as economic activity is down, but it tends to be around the edges.
Conor Murphy: Around the edges. And I guess there's nothing -- the second half forecast we're not forecasting any major pickup from a commercial industrial perspective. So if there was a significant drop off, it would impact, but that's as is baked into the forecast.
Donal Murphy: On technology, David, there was -- and there was probably 2 quarters or 2 different quarters in the first half of the year. We actually -- the business in North America performed well in the first quarter. There was probably a little bit of pull forward of business with concerns over tariffs it was weaker in the second quarter. So tariffs and the impact of tariffs had an impact on the business during the first half, but we had the flow-through of that activity in terms of integrating the 2 North American businesses together. So we're actually well on track to deliver on the -- and there's a big range between EUR 20 million and EUR 30 million, but we're certainly well on track to be on the mid side of that range at the moment and heading towards the side of that range. But the market is tough, and that is offsetting some of the benefit that we're seeing coming through from the integration activity.
Operator: Our next question comes from James Bayliss from Berenberg.
James Bayliss: Two for me, please. Within Energy's Mobility segment, you noted fuel gross margin uplift was in part driven by procurement initiatives, I think it was. How should we be thinking about the direction of travel from here on that side of things? Is there more to be done? And equally, was there a contribution within that gross margin uplift from mix shift within fuel type? And then my second question on capital allocation, admitted M&A in the period was about half of what it was in the prior year. Can you just provide some context around that? Is that the natural ebbs and flows of the pipeline? Or are there any considerations around market backdrop or indeed management's focus on the ongoing group simplification?
Donal Murphy: Super. Thanks, James. And maybe just on the mobility side, and there was just -- I suppose just to remind everyone that a chart that we had in our results presentation last May showing the increase in margins over the last decade within the mobility business, it was a CAGR of 13%. So this business and the industry is good at growing margins year-on-year, and we see the benefit of that. There is a little bit of volume margin offsetting one another. So there's times in the year and there was in the first half of the year, particularly in France, where some of our competitors were very aggressive on the pricing side, and we chose not to play, impacted a little bit on our volume. But as you can see, the margin performance was good. The procurement activity is -- it's a good call out, James. And we are seeing significant change in the supply landscape on the energy side as refineries are changing hands, some of the integrated energy companies are pulling back in some of the markets. And as a customer-focused company with significant volume requirements, that's playing into our strength. So we have more opportunities on the supply side than we probably would have had in the past. And that is an opportunity, and it will be an opportunity for us going forward to drive margin improvement. We have -- as part of our simplification process, we have set up central procurement teams so that rather than looking at buying our products locally within each market, we're looking at opportunities to leverage the scale across the energy activities that we have. And we're a substantial buyer of product within the market with a very strong balance sheet. So we see procurement being an area of focus to drive profit margin improvement going forward. Conor, I don't know if there's anything you want to add.
Conor Murphy: No. I guess working capital improvement as well. As Donal said, we've -- what the technical guys call the short that we have into the market, the demand that we have into the market is really important to those suppliers, and we will leverage that as best we can to make sure that we're giving our customers the best offer that we can and the best pricing that we can.
Donal Murphy: Sorry, capital allocation. Yes, look, the -- in ways, it has been -- say this morning, it's been a quieter period for us on the acquisition side. And that is -- it's not -- we've not been distracted with the divestments. It's just M&A, and we've talked about this over many years, M&A ebbs and flows, and it doesn't come on a consistent basis. We have talked about and talked earlier just about the services area being a little bit more difficult. So we're probably a little bit more measured in terms of capital deployment in that area. But we are very focused on growing our liquid gas activities, in particular, on the product side. So the 2 acquisitions that we announced were very timely. We have a decent pipeline actually and a growing pipeline of opportunities at the moment. So we're certainly very confident that we will be deploying more capital in this financial year.
Operator: Our next question comes from Christopher Bamberry from Peel Hunt.
Christopher Bamberry: Three questions. In Energy Services, could you please explain the factors behind the lower growth in operating profit compared to gross profit in the first half? Secondly, in Mobility, you intentionally see some lower margin volumes in the Nordics and the U.K. What do you expect to be annualized impact from this and there's potentially some more sharpening of focus to come? And finally, in technology, has the shortage of certain lifestyle products been resolved?
Donal Murphy: Okay. And Chris, just to take the first one on Energy Services, we have been -- so we bought quite a number of businesses, and we talked about that a little bit earlier. We're integrating businesses together. Some of that results in investment within the businesses. We -- and we're investing in terms of building our sales organization. And some of that is the business demand was very strong. There was plenty of orders coming to the businesses. We need to be much more proactive now within the business. So there's investment going into these businesses, which we always had planned to do post acquisition. So the big differential between the gross profit growth and the operating margin is really investments that we're making within the business. On the mobility volume side, again, as I said earlier, there is a little bit of margin volume that we play. So it is -- we don't really kind of try and call and say, well, actually, the volume -- that volume will bounce back or volume will be a bit higher in the second half of the year because there could be activities by competitors in markets, and we'll choose not to play on that. I think the lower-margin business that we talked about walking away from, that's done. There's not -- we don't have other business in that category. So it's really down to -- it's down to competitor activity in the markets. But we'd be very confident that we will deliver good organic profit growth within our mobility business for the year as a whole. And finally, just the lifestyle products piece. So again, particularly the uncertainty around tariffs and price points on those tariffs. So a lot of those products that we sell on the lifestyle side come in from China and other markets and are imported into the U.S. So the price of products went up pretty significantly with the tariffs that impacted on demand. That's probably washed its way through the market at the moment. But the consumer in the U.S. is probably not the healthiest at the moment. And that kind of weighs into the outlook for the year. Thanks, Chris.
Operator: Our next question comes from Joe Brent from Panmure Liberum.
Joe Brent: Three questions, if I may. Firstly, interested to hear your views on what the peer group is saying in solutions. Secondly, if memory serves, I think you were targeting double-digit EBIT growth in services given the first half and what you're saying, does that now appear a bit of a stretch? And then finally, on tariffs for the rest of technology, you've told us kind of where you're at in the first half and the Q1, Q2 split. Could you just give us a little bit more on your thoughts around pricing and consumer sentiment in the second half and how you see the second half playing out for the rest of technology?
Donal Murphy: Joe, could you just repeat the start of your first question?
Joe Brent: The first one is just your views on what the peer group are saying in solutions.
Donal Murphy: Yes. Yes. Okay. Sorry. Look, and I think it's well publicized that, that whole services market is slow on the solutions?
Conor Murphy: Services solutions.
Donal Murphy: Services solutions. Yes. And Joe, like it is -- where we're seeing, as I say, in France, we have a particularly strong order book we've had going into this year. So we are -- we see the profits are fairly baked in for this year as a whole and actually into next year. In some of the other markets we're in, the demand has been weak for a while, and we're seeing that -- we're very much seeing that across the peer group. And just while we're on it like the peer group generally on the product side, you would see very much the same factors impacting. I think we have been outperforming any of our peers and growing our shares.
Conor Murphy: On the double-digit services growth, Joe, like we won't see that in the second half. That's absolutely right. And -- but I think it is something that we are confident in over the medium and longer term. That's absolutely where the demand is going to go, where the business is going to go. When you think about the energy transition, our customers are going to transition into looking for more services, looking for solutions that give them power and energy that is more affordable and cleaner and more independent, and that's going to drive the growth in that area. So look, we're confident in the medium term. We always knew that there was going to be a certain amount of volatility in the shorter term in this business, but we're committed to growing a long-term business from there.
Donal Murphy: And just on the tariffs and product demand side, I think like the bar changes or further changes within tariffs, we're a pass-through business. So the increase in the price of the products have been passed into the market at this stage. I suppose the question in terms of the next 2 months really in the -- particularly on the consumer product side is what will demand look like. And we've probably been conservative in our views on what we think the demand will be like in our guidance for the year as a whole.
Operator: Our next question comes from Ken Rumph from Goodbody.
Kenneth Rumph: Two questions. One is to go back to your expectations for the full year and products and kind of that needing to catch up and start growing in the second half and continue growing as it did in the first quarter. Your comments seem to be that sort of you'd suffered previously from a mild spring. I mean, would another mild spring throw you off course? Or would it merely be kind of just as it was before, and therefore, you expect growth? I mean to try and understand sort of why you were confident that you were going to see that second half growth to sort of recover what was lost in the first half? The second question is just a little bit more kind of technical in a sense, which is you've not given us a price for the tender offer today, which I confess I expected. What's the sort of timetable? We get it on a certain date and then there's a certain number of days for it then to proceed. You've said it's going to finish by the end of the calendar year. I assume that's not kind of Christmas. So what's -- when we do get a figure, what's the timetable?
Donal Murphy: Okay. And Ken, just on the weather piece, like -- and been around this for a very long period of time. And you get ebbs and flows from a weather perspective. It is always more acute in the first half of the year because April is a significant heating month as you come out of the winter. And then as Conor said earlier, the rest of the summer, it's a lower level of impact. So your ability to catch up in the first half is very limited. But people buy like a typical average domestic customer will take 2 orders from us a year. The 2 orders will come in the second half of the year. And so you'll get the catch-up on the heating side. Clearly, if we got an extremely mild winter, that would have an impact on our profits for the year. We're not going to be immune from that. But all we can guide on is on the basis of normal weather conditions. The other side that impacted clearly in the first half was Hong Kong and Macau, and we have lapped that. So that is behind us. And finally, we had a very strong first half last year and actually a weaker second half. So the comparatives were tough in the first half, and they're a little bit more benign in the second half. So we're -- as I say, we're very confident in our outlook for the year. On the tender, Ken, there's really nothing more we can say than in the statement. It's clearly all pretty market-sensitive stuff. So all we can say is it will be completed by Christmas, and it will start shortly. And there will be an RNS clearly when the Board has made those decisions, and that will go out and it will detail the steps. There is quite a number of precedents out there. So there's places you can look to see the process. And anyway, it's probably all I can say on that at this stage, Ken. Thank you.
Operator: Our next question comes from Annelies Vermeulen from Morgan Stanley.
Annelies Vermeulen: I have 2, please. So firstly, just on the M&A pipeline. You've spoken in the past about the opportunity for liquid gas in North America. You've done 2 deals in Europe so far this year. So could you talk a little bit about that pipeline in the U.S.? Is that still interesting? Is there anything going on there in terms of the multiples or the opportunity set that means that we should see less M&A spend in the U.S. going forward? If you could comment on that? And then just coming back on the tech piece in North America, it sounds like there was some destocking in the second quarter. As the dust begins to settle from all these tariff discussions, are you reconsidering your supply chains at all? I know you've spoken about procurement in the energy business, but just wondering in technology, whether there's more to do there on the procurement side as well.
Donal Murphy: Thanks, Annelies. The North America is and will remain a very important growth market for us. We have less than 2% of the propane market in the U.S. It's -- and maybe that's a slightly misleading number because these are they tend to be more local businesses. So there are states where we'd have double-digit market shares, and they would have similar characteristics to the more consolidated markets. We see in Europe where they have higher margin benefits, operating margin benefits through leveraging routing and scheduling and all the things I talked about earlier. But there's lots of states where we have very low market share. So we are very active in building our pipeline and talking to players within the market. We're very confident that we will deploy more capital into the U.S. market. But a bit like the conversation earlier, the way M&A comes along, we never force the pace and at least because if you try and force the pace, you overpay for assets. So -- but we certainly don't see anything in the characteristics of the market that would say that we are unlikely to be deploying capital over there. And over time, we'd like to deploy capital at scale into the U.S. market. On the procurement side, it's probably slightly different, at least because we distribute branded products. So we're really not the originator, if you like, of where the product comes from. So it's more down to the supply chain approach of the vendors that we work with. So the big AV vendors, we have seen some movement in where they produce the final assembled products, and that drives the market that we will import the product from. We do have quite an amount of our own branded products. So we do have an opportunity there to look at other markets. But it's not as easy to do that because you have manufacturing partners that you've been working with for many, many years. So our focus has really been much more on passing through the price increases into the market than ultimately looking to change where the product is manufactured. But we do -- as I say, we do think about all those things.
Operator: We currently have no further questions. So I'd like to hand back to Donal for some closing remarks.
Donal Murphy: Super. Well, look, just to thank everyone for joining us today. Thank you for your time. This has been a period of very significant strategic change for the group as we simplify the business to become a much more focused energy business. And we're very confident in our ability to build DCC and DCC Energy into a global leader in the energy sector. So I know we'll be meeting many of you over the coming week and indeed months, and we look forward to continuing our conversations. Thank you all very much, and see you soon. Bye.